Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Liberty Media Corporation 2018 Q4 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded, February 28. I would now like to turn the conference over to Courtnee Chun, Senior Vice President of Investor Relations. Go ahead.
Courtnee Chun: Before we begin, we'd like to remind everyone that this call include certain forward-looking statements within the meaning of Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in our most recent Form 10-K and 10-Q filed with the SEC. These forward-looking statements speak only as of the date of this call and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media's expectations with regard thereto or any change in advance conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures including adjusted OIBDA of Liberty Media and adjusted EBITDA of SiriusXM. The required definitions and reconciliation Schedules 1 and 2 can be found on the end of the earnings press release issued today which is available on our website. This call also includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 regarding the Liberty TripAdvisor Holdings.  Actual events and results can differ materially due to a number of risks and uncertainties including those mentioned in our most recent Form 10-K and 10-Q filed with the SEC. These forward-looking statements speak only as of the date of this call and Liberty TripAdvisor Holdings expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty TripAdvisor Holdings expectations with regard thereto or any change in events conditions or circumstances on which any such statement is based. Now I'd like to turn the call over to Greg Maffei, Liberty's President and CEO.
Gregory Maffei: Thank you, Courtnee. Good morning. Today, speaking on the call beside myself, we'll have Liberty CFO Mark Carleton; and Formula One's Chairman and CEO, Chase Carey. During the Q&A, we'll also be available to answer questions related to Liberty TripAdvisor. So starting with Liberty SiriusXM. During the quarter, we have continued our repurchases of Liberty SiriusXM stock and from the period of November 1 through January 31, we bought additional $159 million worth. When you look through the discount, we effectively bought SiriusXM stock at a price of $4.09 so that is pretty attractive. I would note that the discount NAV between Liberty SiriusXM and SiriusXM, the underlying stock, has tightened a few points but remains stubbornly high. We will continue to take advantage of it. Pro forma for the Pandora transaction and Sirius' actions are ownership of SiriusXM stands at about 67%. Just a moment on IR communication, the bankruptcy plan is -- has been confirmed by the courts and we expect it will emerge in the second quarter.  Once that happens, Liberty is expected to be on just under 5% of the IRR radio equity, about $284 million of IR radio debt which is designed to trade at face. And just a little less, Clear Channel outdoor equity has -- there is already a public stub in the Clear Channel outdoor equity so it have that much dilution. Looking at the underlying SiriusXM's operating results have had strong full year results. Record revenue of $5.8 billion adjusted EBITDA of 6% to $2.2 billion despite a number of catch-up payments for content and other issues and we completed the Pandora transaction on February 1. Turning to Formula One Group. We continue to make great progress in 2018 with fans and other constituents. 490 million unique visitors saw the product across all forms of Formula One programming. We had 4.1 million total spectators at races physically and we are the fastest growing major sports brand on social media for the second consecutive year. Note as we've mentioned several times, this business is hard to compare in a quarterly basis.  In the fourth quarter of 2018, we had 5 races versus 6 races in a similar period in 2017. We are very excited to the start of the 2019 season in Melbourne on March 17. Turning from on Live Nation, we're not going to talk about it yet on this call because they report later today so I encourage you to listen to that call. Looking at the Braves. We have continued financial strength in our second season of SunTrust Park in the Battery Atlanta. I would note that 2018 included several big positives that benefited our results on the baseball side. That includes a very favorable home game schedule with attractive teams scheduled and in Atlanta, a competitive team with meaningful games into the last month of the season, nongame day special events in the ballpark that trended up including concerts. And importantly, winning the NL East great team performance brought as post-season revenue which certainly hopefully will continue in 2019 but we don't necessarily budget for. Battery Atlanta is close to full occupancy in driving very solid returns. Looking at the performance ahead, we're super excited with the signing of George Donaldson, along with the return of the Brian McCann to the Braves.  And looking -- we are very much looking forward to the start of the season on March 28. We want our team to win the World Series and believe our team has the potential is on the right path to do so. The management team has our full backing to do what they believe is right to win. Over at Liberty TripAdvisor, I'd note we finished a strong 2018 with great results in the fourth quarter. We achieved strong net income and adjusted EBITDA growth. We continue to focus on hotel marketing efficiency which drove a 700 basis point expansion in the hotel segment in the adjusted EBITDA margin. We grew revenue and experiences at restaurants by 40% and remain very excited about this market opportunity. We are projecting double-digit consolidated adjusted EBITDA growth for 2019. With that quickset of comments, I'll turn it over to Mark for more of our financial results.
Mark Carleton: Thank you, Greg. Quarter-end Liberty SiriusXM group had attributed cash and liquid investments of $37 million, excluding $54 million of cash held directly at SiriusXM. The value of the SiriusXM common stock held at Liberty SiriusXM as of February 27 was $19 billion and we have $1 billion of debt against these holdings as of year-end. Total Liberty SiriusXM Group attributed principal amount of debt was $7.9 billion which includes $6.9 billion of debt at SiriusXM. Formula One Group had attributed cash and liquid investments of $130 million excluding $30 million of cash at F1. Formula One group has attributed market securities with the market value of approximately $4.4 billion as of February 27 including the intergroup interest in the Braves Group and our stake in Live Nation, with $2 billion of attributed debt excluding the debt at F1. Total Formula One group attributed principal amount of debt was $5 billion which includes $2.9 billion of debt at F1. F1's total net debt to covenant OIBDA ratio was defined in F1's credit facilities was approximately 7.35x as of December 31 as compared to a maximum allowable leverage ratio of 8.7x. Now again, as Greg pointed out, with the race calendar income from 21 races was captured in the trailing 12 months ended December 31, 2018, versus 22 races for the period ended September 30, 2018 and the leverage ratio increased accordingly. We've set a target total net leverage ratio for Formula One of 5 to 6x bank covenant OIBDA. Please note these leverage ratios are for the Formula One business, not the Formula One Group. At the Braves Group, we have attributed cash and liquid investments of $107 million and attributed principal amount of debt of $494 million.  And now I'll turn it over to Chase Carey to discuss Formula One.
Charles Carey: Thanks, Mark. I'll briefly discuss our results in 2018 and then focus on our plans for 2019 and beyond. As we've mentioned numerous times, we look at this business on an annual basis and for the full year, revenue was up 2%. Our primary revenue streams were essentially flat for the year. There were a number of one-off items that impacted these results. In particular, we have two rights holders experienced financial issues and there were also changes in the race calendar. We also add 1 contract amendment that provided for an increase in promotion revenue which is fully offset by a reduction in advertising and sponsorship revenue related to a particular event. Overall, this amendment was neutral to primary revenue. And looking at adjusted OIBDA, we knew that 2018 would be a year of investment. However, we now have the right organizational structure in place and expect that the majority of future investment will be revenue-generating. Now on to the fan. Over 4 million fans attended the 21 Grand Prixs in 2018, an average of 195,000 spectators for each weekend with race days averaging over 80,000. To put this into context, 70,000 fans were in attendance at the Super Bowl in Atlanta. Not to be outdone, viewers at home also increased engagement with unique global viewers up 10% to 490.2 million.  Note that we changed our viewership methodology to align with industry standards which measures three consecutive minutes of viewing. The viewership stats were provided for the 2018 season reflect assume methodology including restating 2017 results for an apples-to-apples comparison. And for the second year in a row, we were the fastest-growing major sport on social media platforms. We're pleased with this heightened engagement across all platforms. Now onto 2019. The teams are about to finish testing at Barcelona and this month was filled with exciting reveals and new cars and referees. Driver lineups have changed significantly which should make for exciting drama on and off the track. The first winner testing session, together with the daily review show, was available on F1 TV, along with the second testing session. Additionally, the first ever documentary produced by Formula One entitled Michael Schumacher, The Making Of A Legend, is available exclusively to all F1 TV subscribers. Further on the content front, our Netflix show entitled Formula One Drive to Survive will air on March 8. Be sure to check out the trailer which is online now. With respect to our F1 TV over the top platform 2019 will, in many ways, be a true commercial launch of the product. After using 2018 as our beta test, we strengthened the platform and we'll have a more full some marketing launch as we kick off the F1 season next month. F1 TV is a long-term strategic priority. We will continue to evolve the platform, enhance the content and build on distribution opportunities in the coming years. On the distribution front, we must recently signed agreements in the Netherlands and Germany, both markets in which F1 TV is available. 2019 marks the start of our new deal with Sky U.K., the leading subscription sports channel in the U.K. Highlights from Saturday and Sunday race weekends, along with the Silverstone Grand Prix, will be shown on Channel 4 in the U.K. Over the past 2 years, we've signed distribution deals in many of our largest markets and global coverage is largely set for 2019. The race calendar in 2019 matches that of 2018 in number and location of races. Though there still will be quarterly variations in the race count, as already announced Vietnam will join the calendar in 2020 and we're in discussions with numerous other locations that both answer demand in certain markets while attracting new fans and sponsors.  Again, this January we brought all the promoters to London to meet and share best practices. We continue to believe this is a group that can work collaboratively for the betterment of the brand and fan experience. We plan to hold 4 fan festivals this year, the first of which will be in Shanghai which coincides with Formula One's 1000th race. We will celebrate this milestone in many ways so stay tuned. We also plan to hold fan festivals in Chicago, Los Angeles and Brazil. We're excited that we exposed other audiences in the U.S. to Formula One after a very successful fan festival in Miami last October, the true 80,000 spectators. In Australia, we will host our first ever launch event on March 13 in Melbourne to include all 20 drivers and 10 principals. Our global partners Rolex, Emirates, Heineken, DHL and Pirelli, are all supporting the event through a variety of activities. In further partnership with our sponsors, we will also host special events around raises with AWS and MIT which will draw a diverse audience and expose them to the many facets of Formula One. We were also pleased to extend our partnership with Pirelli, the soul global tire partner through 2023 at the end of last year and signed a 5-year agreement with Cyber 1 earlier this year as the official cybersecurity provider for Formula One. We continue to focus on the product which is the race and making it the greatest racing spectacle in the planet.  As mentioned earlier, the 2019 season will bring in new drivers, new pairs to the teams and many seasoned veterans. 3 drivers were pulled up from F2, Alex Landon Noris and George Russell, which proves this is a further testing bed for Formula One drivers. And we're excited for the 2019 F2 driver Formula Two driver slate, which includes drivers from China, the U.S., Brazil and from Germany, Nick Schumacher. As it relates to the race, we're focused on technology and regulations that will prove competition. This includes reducing loss of performance when cars are in close proximity, designing circuits with more opportunities for overtaking and reviewing how penalties are enforced. We continue to have discussions to make progress with the teams in a new Concorde Agreement that addresses cost structures, revenue distribution, regulations and governance.  We call this new agreement will impact the 2021 season and beyond and we are in constructive discussions with all 10 teams to finalize the details and improve the sustainability of the model. We understand the public markets would like to have all the terms as soon as possible we're going to take the time necessary and make sure that we get this right or are in alignment with our partners. When Liberty bought Formula One a little over 2 years ago, we knew that Formula One was a fundamentally strong product and brand and we knew there will be hard work ahead to turn this into an efficient business. We now feel we have the right organizational structure and a fortified to core business and can now focus on how we amplify our strengths. For 2019, the drivers of revenue are clear, cost growth will abate and we expect leverage to decline significantly. We remain firm in our commitment to growing this business in creating value for the long term for the teams, our partners, Formula One and our shareholders. Now I'll turn the call back over to Greg.
Gregory Maffei: Thank you, Chase, and thank you, Mark. I'd like to finish by reiterating the point that Chase just made. We are very pleased with the progress that Formula One has made over the last 2 years. We are confident the tremendous potential still exists. We realize the hard work and dedication that Chase and the team have put into building out this organization to look forward to seeing the payoff soon. We are committed to the F1 business. In other news, we have scheduled our annual investor meeting in New York on Thursday, November 21, so please mark the date. Finishing, we continue -- we appreciate your continued interest in Liberty Media and with that, I'd like to open it up to questions. Operator?
Operator: [Operator Instructions]. We will now take our first question from Vijay Jayant of Evercore.
Vijay Jayant: Chase, just some clarification. Obviously, there's some dollars moving from our sponsorship to race promotion. If that didn't happen, what was sort of the sponsorship obviously we expect in that to continue to improve in '19? And then on the price front as a percentage of revenue, that seem improved, increased by about 200 basis points to 69.5% in 2018 from 2017. Obviously, we thought it was more sort of fixed in some ways. I'm assuming there's some bonus payments and the like. If you could help us understand that. And if I could, one final one, is on what I understand as the FIA International Sporting Codes mandate a major technical and sporting regulations to be determined as part of the Concorde Agreement about the middle of this year. If that is the case, do we expect to get all the commercial and the better cast and all the other things we're working also come together that time.
Charles Carey: Yes. So I guess on the first one as it relates to promotion and sponsorship, I think probably, the impact of what was moved around and again, as I said on the call, it was in aggregate, sort of net neutral and it took down a bit sponsorship revenue and increased promotion and decreased the sponsorship revenue. So without that, the sponsorship revenue would've been certainly up a few percentage points higher than it was otherwise. And again, it's not uncommon in our agreements where we have sponsorship components, we have hospitality components, we have a fee components so quite frequently, we are working with sponsors to figure out how do we optimize for both of us the revenue opportunities but we're pretty revenue-neutral on it in aggregate across those. On the prize fund, it's not a bonus.  The primary effect when 2018 was really how the specifics of the prize and computation and deals with some things like withholding taxes so we had a long-term dispute with the country that actually benefited us but we account for it in 1 way but it flows through the prize funds so it actually doesn't flow through. On our operating profit to us, we get the cash benefit of it but because it gets computed into -- because it gets factored into the prize fund computation. The prize fund reflects the benefit of that so it's a difference between how that which was essentially the resolution in our favor of a past withholding tax issue in a country and how it flows differently through our P&L than through the team's P&L, through the teams prize fund and that was a primary thing. They took it out it made the prize fund higher than it would otherwise be on a pro rata basis against the profit. And there are sort of structures that lead us to want to have things in place by June. I'm not going to put in place, I'm not going to elaborate on specific deadlines for discussions with teams. They're active. I mean I had a number of meetings this week with teams so they are quite active. We are trying to, as I said in the opening comments, we want to resolve these things, they are for 2021, so clearly, you don't -- there is still time there. But I think all of us would like to have a clear visibility to the future so we are looking to conclude those as quickly as we can but it is true that certainly, there are components of it that we would look to have in place by June, although we certainly expect to advance of things before then.
Operator: We will now take our next question from Amy Yong of Macquarie.
Amy Yong: I guess now that you've closed -- or SiriusXM has closed on Pandora, can you talk about some of the cross-collaborative efforts between SiriusXM and Live Nation and do you think it makes sense to combine these? And I guess lastly, how do you think of LSXMK as an acquisition currency?
Gregory Maffei: Amy, I'll take the latter first. I think it's a very poor acquisition currency given the trades of a discount to the underlying source of 99.999% of its value or 90 -- I guess not quite that high, 97% of its value, something like that. So it would be a very set of -- unusual set of circumstances which would cause us to use LSXM as a acquisition currency. On the Sirius and Pandora combinations and the opportunities, I think they're in a host of areas. The opportunity to cross-promote, the offer to have good-better-best strategy, the opportunity to use Pandora's strength in digital advertising to enhance the offerings of Sirius' on the advertising side, the opportunity to move subscribers from 1 opportunity -- 1 set whether it be in the home or in the car or elsewhere on mobile to another, the opportunity to share content, in part or in whole, is a teaser or a more completely, the opportunity to have rationalization on the cost side in several areas, in digital in particular but just in general in G&A, there are places. So I think they are a range of them and frankly, we are only getting a handle on those. Jim Myers has been sending and David Greer have been spending a lot of time in Oakland. The whole senior management team has an off-site yesterday at SiriusXM and topic 1 is all the things that we make together and all sets of managements are there and those sets of management are increasingly integrated. So I think some of the things you've suggested about bringing them forward together are happening and will happen increasingly through '19 and I think you'll see a series of initiatives in '19 demonstrating how we can work together.
Operator: We will now take our next question from Ben Swinburne of Morgan Stanley.
Benjamin Swinburne: Chase, you said in your prepared remarks, the growth drivers are clear, I think you're talking about 2019, maybe 2019 and beyond for Formula One and cost pressure should abate. I don't know if you want to go this far, but should we expect revenue across all the 3 major streams for primary F1 race promotion and sponsorship and broadcast to all grow this year? And given your point on costs, should we also expect margins to go up?
Charles Carey: First on revenue, we do expect -- there obviously, other categories that matter too so those are the main 3 big drivers. But certainly, areas like hospitality are important but we expect growth across all, not equal, by largest growth in television. The race calendars are pretty stable so I think probably the growth will be more modest there. Clearly Vietnam, coming on a year later, ads on the promotion front and the sponsorship area we expect ongoing solid growth, got a lot of interest in the sponsorship area. The sponsorship probably takes a little longer to close the deal we would've expected a year or 2. We got to have a more tailored packages and tell the story better and create the research to sell it. But along with the way of saying yes, we do expect growth across on all primary areas, not equal growth, television growth, will be the largest. And certainly, growth in some of the secondary areas too like hospitality and events. And on the cost side, I mean it's only a little complicated, our biggest cost is the team payment which are more a percentage so you don't really get any margin. You don't get margin improvement off of the team payments since it's a percentage of profits.  So the other costs are so small against the team payments. The margin and movement is smaller. We do expect some improvement but there are number of areas where cost relate to revenues take the hospitality area or freight which are areas where we have revenue that's attached to cost, to the degree freight cost go up, freight costs were up significantly in 2018 that we -- a lot of our freights for third parties that we build through so they're sort of a -- it is a revenue-generating cost increase. It's not a profit center but it's a revenue-generating cost increase. Hospitality again is an area where we have cost against revenue so revenue helped cost go up. So there are some places where in television promotion in the sort of core areas that primarily straight through. Some of the other areas of growth, we are having more events this year, the MIT events again, they will be -- we'll make money on them but there is a cost to create them. So we have some costs that are not large in the context of the overall business. Certainly, the events are -- and freight's a sizable cost. But in aggregate our cost that are not attached or costs like operating cost and some of the basic cost, we'll certainly have margin improvement against. But we won against the team payments and we will have been some other areas like hospitality and freight that have some costs against them.
Benjamin Swinburne: Got it. And I don't know if you and Mark could comment when do you expect when should we expect you will get to your leverage target or get to that 6x or below if you look out over the next couple of years? I think your visibility is very helpful.
Mark Carleton: Certainly. Go ahead, Chase.
Charles Carey: No, go ahead Mark.
Mark Carleton: No. I think we're certainly aiming towards getting that down under 6x this year. We think there's a realistic opportunity to do that. And as we look at the numbers, that is a clue what our target has been and we think we'll get there.
Benjamin Swinburne: Just lastly to Greg, any thoughts or interest in spinning the investments out of the flunk's tracker. Obviously, investors looking at flunk today, there's a lot of investing that is more investment equity in there than there is F1 but I'm sure sub-optimally you'll probably agree. Any interest in sort of revisiting the structuring here?
Gregory Maffei: Well, I'd first note that, that it's a high-quality problem caused mostly by the increase in the value of Live Nation that has caused this to be the case. And moving it across as we've talked about, the most obvious way would be to and properly aligned with Sirius over time might be the movement there but given where LSXM is trading, it's probably not attractive. There is debt against it which would reduce the net equity value. But the moment I would describe that is probably a worthy goal but not worth the cost or the friction to get it done at the moment. May change but not [indiscernible]
Operator: And we will now take our next question from Jeffrey Wlodarczak of Pivotal.
Jeffrey Wlodarczak: One for Greg and one for Chase. Greg, can you comment on your potential interest in taking a stake in Universal Music? Do you need an ultimate path to control and will that be done through Liberty or SIRI? And then I guess same question on Fox Sports Net and do you think those assets actually get sold or do you see sports to spin amount?
Charles Carey: Look, Universal Music, if you look at SIRI, one of the largest, if not the largest cost they have is to the content suppliers and understanding how you might head some of those costs is interesting. An ownership stake in Universal Music could be interesting. That's truly only going to be true on the right terms and conditions. We were asked, I would ask, would you look at it? Of course. We're a it's huge supplier to us and an important constituent in the music space and we would look.  So Vivendi announced that they were going to potentially seek partners, we certainly would express interest. It would have to obviously, unspoken, don't need to say it but we'll anyway on the right terms and condition and would we prefer path to control? Usually in light, we do but we're also it would depend on what else is available and what else is offered and whether that's attractive in the total. That probably would be done at SIRI but I can't guarantee that. We would look and say, is it attractive for SIRI, is it relative to LSXM, what are the alternatives. You've seen where we put money LSXM. I don't want to note that. And you should -- further on the LSXMA's investment priorities, I think I told you, we're going to the 3 components of IR spun out to us, the CCO equity, the radio debt and the radio equity. The first 2 are probably not things that we're going to hold for the long term, if at all. They're just not in our investment portfolio. CCL may be a great company for the future, it's probably doesn't fit well with our portfolio so you might expect us to utilize some of that cash, to do things like shrink the LSXM discount or take advantage of it. And as far as the RSNs, it's a set of assets we know well.  We understand both their strengths and their weaknesses which are manifest. And you have a seller who is a four seller, to my understanding is by the terms of their consent decree which could be modified, they're going to be a seller not a spinner, but the current consent decree does not allow them, as I understand it, to spin, could change. You've got several large players, including Fox, suggested they're not interested and walked away. It is the kind of situation we would look at and if we've been rumored to look at, and it would be logical that we would look at it. But we're going to look at it only on the basis that it's attractive for us for the long term and that we can see reasonable upside given what our clear risks in the distribution of these and then changing MVPD world. Where that investment would get done, whether it'd be done in Batter or whether it would be done on LBRD or somewhere else, really depends on the scope and size and with our partners are and how it turns out. But we are approaching them with appropriate caution and appropriate wide-eyed certainty and understanding that we formed a lot of these things with Fox a long time ago. We have a lot of history with them and I understand those businesses as well.
Jeffrey Wlodarczak: Thanks, Greg. And then one for Chase. Chase, Is it fair to say under the new potential Concorde Agreement that the revenue share payment percentage that teams are probably going to be about the same as they are today, but if you can grow the revenue materially, you get a larger share of future revenue?
Charles Carey: I don't think, at this point, I don't want to get in sort of speculating on things that are still in active discussion. We certainly expect to grow the business and there's no question. We talked, I can go back to the last 2 years we talked about '17 and '18 being sort of building foundations. We expect growth to really start to flow through the business in '19 and more so in '20. We talked about 2020 being the target. So certainly, we are focused on growing the business. We believe there's a lot of growth in it and we expect to start to recognize that but I don't want to get speculating on things that. As it is also said many times, I think we're best having those discussions privately with our partners and when we resolve it, we will address it.
Operator: We will now take our next question from David Karnovsky of JP Morgan.
David Karnovsky: Just one for Chase. Regarding the contract with the field broadcast rights broker, can you say which regions is covered and then can you walk through what happened when the contract terminated? Did you move to agreements directly with your TV partners and then do those deals restart in 2019 or in 2020?
Charles Carey: I'm not going to elaborate too much on, by design, we did not identify the specifics of and probably turn people can guess and essentially with a broker, a middleman that control our rights to sold it on so when the broker went broke, the agreements were eliminated as part of the process. So yes, what we did is go back and there was a large region and a number of smaller ones so we were back engaged directly with the parties that had been buying through the broker given the timing through which it happened in some of the circumstances for 2018, it clearly created the consequences and timing of it, made an adverse to us, we expect in 2019 while the season is imminent we're still addressing it and we expect to get into a constructive place that works for us in a better way for 2019 forward and are actively finalizing some of its finalized. But we're actually finalizing it now but when we have the deal with it live, a weeks' notice or what have you. Clearly, there was a consequence to us in '18 but we believe we are in a path to address it in a constructive way for us for the '19 season.
David Karnovsky: And I think Formula One has a few race promotion contracts that are coming up in 2019. Is there any and high level commentary you could give us in your higher thinking about those races and is there any update you can provide on Miami?
Charles Carey: Yes. I mean up in '19, which means for the '20 season obviously, our '19, the 21 races we have for '19 are all contracted, so it's -- we have contracts for '19 if the last season and we have to either create a new agreement more partner go separate ways. And there's nothing really unique to this that wasn't true last year. We had a number of renewals last year just like we have a number of renewals the year before. There are different issues in each one. I think the most positive aspect of that is we have we're increasingly encouraged by the breadth of interest of new parties who want to commit and that really is the dynamic that's important for us for supply and demand. We value some of our races are long-term partners, some not quite as long. I think our first approach is if we can get to a place that works for both of us, is to renew races.  We're not necessarily always going to be able to get there but to make sure we're getting fair value, it's important that we have alternatives in places that provide not just attractive finances but attractive races, an example being in Vietnam, we think, it's going to be an exciting new place to go those objective growing in Asia. And it's a win-win for both of us a so it really ticks all the boxes. We have a races really around the world that we like to add races including not just new markets but some traditional markets like Western Europe. So I think it is engaging with partners, seeing if we can get a place -- get to a place that works for us and try to judge that against the opportunities we have in other markets. And that is a process we're engaged in now with the renewals for 2020 which won't be different than every year. We always have some 3, 4, what have you, negotiations we have to go through and I think as we've gotten a few years under our belt, I think we increasingly feel pretty good about the trajectory of that and the ability to continue to have a healthy business there. And we are looking and we've talked about it I think there's room to add a bit to the race calendar.
Operator: And we will now take our next question from John Tinker of.
John Tinker: Just following up on Jeff's question on the Fox Sports Net. One thing I find confusing is can the MLB bid on them and would it -- how likely possible is it that they could be split up and that Braves can just pick up FOX Sports South rather than the whole package.
Gregory Maffei: This is a Greg. Thank you, John, for the question. I don't know why MLB could not bid on them. There's no reason I would understand why they would not bid on it and it has been certainly rumored that they are a bidder and I can see why MLB would find it attractive to try and reconsolidate those rights to give them more flexibility into the future in dealing with over-the-top and other kinds of bidders. In that vein, I think there are couple of reasons why while these might be cut up that's unlikely there's a bunch of MFNs in these things that make it very hard to unwind the pieces. And secondly, while you can't say for sure, look the power comes from having multiple and giving you leverage vis-à-vis the MVPDs and to a degree that you only have 1 region, as attractive as the Fox South region is and it may be the most attractive regions. It's among the largest with relatively low rights in general having 1 region gives you less leverage and a less appealing opportunity. You don't want to take definitively no to anything but in principle more is a better.
John Tinker: So a quick follow-up on -- you've now sort of set up you going to spend a couple of hundred million completing out -- completing the development, but what time does revenue start to kick in from that on the.
Gregory Maffei: On the Battery.
John Tinker: Yes.
Gregory Maffei: I think there's some units leased up. I think we'll see beginnings of it in '19 and more meaningfully in '20. We could ask Chase to comment on the RFNs. We will probably put them in a difficult. He has a lot of knowledge but we probably won't put him on the spot.
Charles Carey: I'll pass.
Operator: We will now take our next question from Barton Crockett of B. Riley Fox.
Barton Crockett: It's Barton Crockett. I guess, a couple of things. One is your business at Formula One having some substantial kind of obvious European and international exposure. A lot of companies with that type of footprint have seen impacts from the economy, perhaps in the U.K. and weakness in some other places. You don't seem to be seemed that. I just want to double check. Does your business seem to be economically resilient and if so, could you explain that as kind of the affluent nature of people going to your races and some of the improvements you're making. How do you feel about the economy in terms of what it needs for you there?
Charles Carey: Yes, I guess I'd say the economic issues, I do think we're pretty immune to them. I mean, in Brexit, we've got some logistical issues that are more sort of if you end up and no deal with Brexit, how do we get in and out of Britain and with various equipment but it's not a financial issue, it's more logistics aware contingency planning for things like that. I think we are immune. I've guess I'd say the reasons I think being global, was certainly on European base for a global business and we're unique. I think those are probably feel at the most are ones that are more commoditized and we're not -- I think it also helps that we're largely a contract business. So we're not ones -- when you look at our revenue streams there are some that are more ongoing hospitality, something like that but the vast majority of that is long-term and so I think people the less -- the parties are less consumed.  We are a fairly high demo of sports so I think that probably helps we got quality sponsors and the like. So I think the combination of unique events, long-term agreements, strong demographics and those we deal with and I think to some degree, upside to our story. And we really do feel that we've got some win in our back. In our focus, in the last 24 months has really been building interest in France creating momentum in the business creating momentum in the sport and then as we now move to monetize that we sort of get the story told, create us some momentum and I think we're seeing that the interest that we experience. There are some places not really as much of the economy, I mean certainly the sponsorship area, again, if you're not Google or Facebook, it's probably harder than it was. But actually, we're pretty encouraged by the interest. It's -- you've got to tell a better story. You've got to have a meat in the bones in the story. You can't just sell signage in the wall anymore and you've got to find ways to create unique relationships with them and have the research and data that proves the story out. I think we're doing all those things. Again, I don't -- the economic issues, we really aren't, while we're based in the U.K. we're certainly not a U.K. company so that for the U.K. specific issues, I wouldn't expect it to. But I think certainly Europe is meaningful to us. I think we feel we're writing above whatever that noise is for the reasons I said.
Barton Crockett: If I could just switch gears for Greg. You pointed out that you guys will have your positions in iHeart plus bankruptcy. I was wondering if you could update us on your feeling currently strategically about traditional radio? Is that iHeart stake a strategic one or something that we can characterize as may be a flyer that didn't work and not so strategic now? And if radio is strategic, why -- is it safe to think that iHeart is really the only play for you there? Or is there a possibility that you would look at others, the space that seem to have a better kind of a revenue trajectory in the fourth quarter and into the first quarter so wonder how that factors into your thinking.
Gregory Maffei: Well, I'd like to think that back into our thinking why we got into it in the first place, not after the fact. But look, I would not characterize it as a flyer that didn't work. That's a little -- we took a position. We made some proposals that could've been interesting to have an investment. We have a smaller investment now. We'll watch what's going on. The terrestrial radio space is still a scale space. There are clearly challenges for them but also opportunities and iHeart is doing a good job compared to most radio companies about -- thinking about how to attack that and I get credit to Bob Pinkerton and Rich pressed for thinking it that way. The opportunities for us to have synergies across the Sirius Pandora footprint with iHeart, I think are still very interesting. We're very focused at SIRI today on managing the Pandora integration but both SIRI and Liberty we'll watch closely what's happening at iheart and we'll see. I think being an interested shareholder will be a good thing. And as far as just as other radio, I can't say categorically no but iHeart is the largest scale play and in some ways, not only is a leader in scale but a leader in technology and where they're going so that makes them probably, if not the only choice, the first choice.
Operator: We will now take our next question from James Ratcliffe of Evercore.
James Ratcliffe: One for Greg on Liberty Trip, if I could. Based on the filings, it looks like representative of Liberty Expedia was willing to collapse that structure into Expedia, essentially at par and may be a very slight premium? And wondering if you any comment about Scott through's your views on the appropriate relative valuation of Liberty Trip versus Trip.
Gregory Maffei: Yes. I don't think it speaks to that so much. If you look at the Liberty Expedia situation, that's largely about -- we have a relatively pure-play there with -- at Liberty Expedia of Expedia stock and a large embedded corporate gain that the consummation of that merger occurs would eliminate and would allow our Liberty Expedia shareholders access to the underlying Expedia stock and a premium to the marketplace that they're experiencing today. It sounds like a good transaction does not require anybody to sell their Expedia stock instead gives them a more liquid stock at a slightly higher price. It sounds pretty good and eliminates potential future liabilities. For Expedia, lots of good things eliminate the uncertainty around the overhang, eliminate the uncertainty around the ownership somewhat being shared today between Barry Gillis' control and John Malone's control, also eliminates the condition where you go from a hard control situation to a influenced situation with are dealing will not have as much voting control as Liberty has today. So all that is to say the reasons why that transactions should get done that have little read through or look through on what you think about Trip. We remain very bullish on Trip on its own accord and the things that they're doing but probably not influenced by that transaction.
Operator: We will now take our next question from Bryan Kraft of Deutsche Bank.
Bryan Kraft: Chase, just I have one for you on advertising and sponsorship. Can you help us to understand, I guess, how the revenue growth in 2019 and 2020 will be driven? I'm just curious, is it by adding additional sponsors or is it increasing the spend among existing sponsors by providing the more inventory and opportunities to engage with fans? Just trying to get a little more color and better understanding their if you would.
Charles Carey: I think more of a con somatic. We've been successful with some of our renewals in adding some expansion to it and as we have more opportunities for them to support things like fan festivals conferences sports, some of them have stepped up. There are some expansion but I'd say the bigger I think we still feel we have a lot of the portfolio to fill out. So I think we expect that to be the bigger component and offering more opportunities so people are on original sponsor original sponsor, we're going to have regional fees of this year, we don't have regional feeds to sell before. So I think as we create more opportunities for more sponsors to step in and sponsor more things, we expect all of that whether it's filling up the portfolio on untapped opportunities sold, title sponsors on races and sold, global sponsored slots, more opportunities for sponsors to step in, we expect that growth to come from additional sponsors although that doesn't mean we're not looking for ways to add opportunities with the existing guys.
Bryan Kraft: And is there a lots of room to add sponsors -- large sponsors from here or are you filled out for now and giving the demand of inventory?
Charles Carey: We have a room. It's not infinite but certainly whether it's a global sort of entitlement in there. There are three primary tiers and then you can create a lot more crafted ones as we create again more capabilities, we can create more unique propositions. But certainly, we have -- we're not capacity-constrained simply may be but right now we have the opportunity we have untapped opportunities. And we won't run out certainly for the short term.
Operator: We will now take our last question from Jason Bazinet of Citi.
Jason Bazinet: I just had two questions. I know Mr. Carey is encourages us not to look at the quarterly results indicative of the health of the business, I apologize for asking a quarterly question. If you have a race that occurs on the first or the last day of a quarter in any given year, does that have any bearing on revenues because I think we're all modeling it as if it the race occurs day 1 of the quarter, it all shows up in the ninth quarter.
Gregory Maffei: Chase, you might let Brian Wendling talk about the accounting record because there's.
Charles Carey: You're in the technical accounting there's probably someone better than me to answer it so I'll let Brian.
Brian Wendling: Yes, it's a pretty simple answer but the answer is that if the race occurs on a Sunday, and if that Sunday falls into the next quarter, we recognized it in the next quarter. So we recognize all the revenue based on the day of the race.
Jason Bazinet: Okay, and then just a follow-up question OIBDA.
Charles Carey: We have some race-related revenue, we have some season-related revenue, but the race-related revenue gets recognized when the race is up.
Mark Carleton: Yes.
Jason Bazinet: And then just a follow-up for Mr. Maffei. I think the court it is not worth the friction on moving the live stake on some debt to another tracker. Can you just elaborate on what friction you're seeing?
Gregory Maffei: Yes. I think I talked about earlier about the discount on LSXMA. The most obvious way was to be compensate the Flunk shareholders for the state, the net of the debt that's associated with it for the life holding by issuing flunks stock to them -- excuse me, by issuing LXSMA stock to the Flunk shareholders. But given the discount that LSXMA trades to the underlying SXM, I don't think that's a very attractive repair or appealing to the LSXMA shareholders.
Jason Bazinet: You couldn't do it -- you just can't do it NAV-neutral or the equity stake in Live plus the debt is sort of NAV neutral and moved across? Why is that has to be an issue?
Gregory Maffei: I'm not sure. You've got to compensate flunk or the flunk shareholders in 1 or 2 ways that I can think of either you pay them cash or give them equity. And the equity that would be available will be LSXMA or the other choice would be levering up LSXMA and giving them cash and I think at the moment, we think there are other things that are attractive for LSXMA to do with its firepower.
Jason Bazinet: So the third option of the LSXMA equity value married up against some debt that sits at the Formula One group is not an option, so 0 NAV transfer.
Gregory Maffei: I guess I'm not following because yes, there is this that the exchange that we will do but that still has net equity value. So let's look at the net equity value of the Live stake. How am I paying for it? You're proposing to pay for it with a look through value of SIRI or are you proposing to pay with market value? If I'm a Flunk shareholder, I probably don't find look through value to be attractive and if I'm on LSXMA shareholders, I probably don't find market fair to be very attractive. So I don't know somebody's is going to get good until those numbers balanced out there. I don't want to disadvantage either set of shareholders.
Jason Bazinet: I'm just saying mark-to-market on the Live Nation stake, whatever that's worth its equity value and you married that to the like amount of debt.
Charles Carey: Again, that has a net equity value. The Live Nation stake is worth -- yes, the Live Nation stake is worth three something and the debt is $1 billion something. So there's net equity value of two plus sitting inside of Flunk. I got to pay for it somehow if I move it across. And I only think of cash or stock so I don't know how it is it Gordon somebody's unfair to even the Flunk side or the LSXMA side. I don't know about that but I think I got those numbers roughly right. Thank you, today for the questions and of interest in Liberty Media and we look forward to speaking with you next quarter if not sooner.
Charles Carey: Thanks a lot.
Operator: This concludes today's conference call. You may now disconnect.